Operator: Good morning, everyone. My name is Jamie, and I will be your conference facilitator. At this time, I would like to welcome everyone to the Enviri Corporation fourth quarter release conference call. All lines have been placed on mute to avoid background noise. After the speakers' remarks, there will be a question and answer period. If you would like to ask a question during this time, simply press star and the number one on your telephone keypad. If you would like to withdraw your questions, you may press star and two, using your telephone keypads. Also, this telephone conference presentation and accompanying webcast made on behalf of Enviri Corporation are subject to copyright by Enviri Corporation, and all rights are reserved. No recordings or redistributions of this telephone conference by any other party are permitted without the expressed written consent of Enviri Corporation. Your participation indicates your agreement. I would now like to introduce Dave Martin of Enviri Corporation. Mr. Martin, you may begin your call.
Dave Martin: Thank you, Jamie, and welcome to everyone joining us this morning. I do apologize for the technical issue this morning and appreciate your patience. I am Dave Martin, VP of Investor Relations for Enviri. Again, with me today is Nick Grasberger, our Chairman and Chief Executive Officer, and Tom Vadaketh, our Senior Vice President and Chief Financial Officer. This morning, we will discuss our results for the fourth quarter of 2024 and our outlook for 2025. We will then take your questions. Before our presentation, let me mention a few items. First, our earnings release and slide presentation for this call are available on our website. Second, we will make statements today that are considered forward-looking within the meaning of the federal securities laws. These statements are based on our current knowledge and expectations and are subject to certain risks and uncertainties that may cause actual results to differ from these forward-looking statements. For a discussion of such risks and uncertainties, see the risk factors section in our most recent 10-K and as updated in our subsequent 10-Qs. The company undertakes no obligation to revise or update any forward-looking statement. Lastly, on this call, we will refer to adjusted financial results that are considered non-GAAP for SEC reporting purposes. A reconciliation to GAAP results is included in the earnings release as well as the slide presentation. With that being said, I will turn the call to Nick.
Nick Grasberger: Thank you, Dave, and good morning, everyone. We delivered a solid fourth quarter at Enviri, driven by Clean Earth, which produced another quarter of record revenue, EBITDA, and cash flow. Harsco Environmental's performance was challenged by much weaker global steel production and a strong US dollar, while Harsco Rail's adjusted results were similar to those in Q4 of last year. For the full year 2024, some key highlights include Enviri delivered the highest adjusted EBITDA in over ten years, marked by an increase of 10% on an organic basis and a 100 basis point lift in margins. Cash flow from Clean Earth and Harsco Environmental improved to a record of nearly $200 million. Importantly, we delivered better safety performance across the company. I will share a bit more about each of our businesses, starting with Clean Earth. For the full year, Clean Earth delivered cash earnings, profit margins, and free cash flow that were each two times higher than at the time of acquisition a few years ago. We are entering 2025 with great momentum in this segment and expect a further double-digit EBITDA improvement this year. Our strategic goal is to continue to shift our portfolio to a specialty waste business with higher underlying growth rates and healthy cash flow conversion. To that end, since we fully integrated Clean Earth in 2021, the business's contribution to our consolidated EBITDA has grown from 25% to over 50% as of this year-end. The contribution of Clean Earth's cash flow is even higher and has improved at a similar rate. Clean Earth has become a very valuable business in an attractive and consolidating industry. The significant increase in the value of Clean Earth has been driven not only by the much-improved performance of the business but also by the substantial expansion of industry valuation multiples. Our Clean Earth team has done a remarkable job improving the profile of the business through better pricing dynamics, productivity initiatives, as well as boosting customer service to industry-leading levels. Over the next few years, we expect that volume growth, benefits of that common IT platform, facility improvements, and more efficient disposal solutions will serve as Clean Earth's main growth drivers. Turning to Harsco Environmental, the business is managing well through the most challenging conditions the global steel industry has seen in many years. Beginning in the middle of 2024, low-priced Chinese steel began to flood export markets, most notably in Europe and Latin America. The drivers behind this are threefold: low domestic steel prices in China, significant excess capacity in China, as well as weak trade barriers. In response to this market shift, many of our customers have reduced production, and a few have declared bankruptcy and closed operations. We have been through similar cycles before, and we know how to manage it. While the reversal of this trend is difficult to predict, we are moving aggressively to mitigate its impact through lower capital spending, cost reduction, and other efficiency programs at our sites. Our operating leverage to the upside will be significant when the industry recovers. Given the extremely challenging backdrop, it is even more impressive how well our team is executing. If we exclude the impact a strong US dollar and a few small divestitures had on the HE business, adjusted EBITDA in 2024 was essentially flat versus that of 2023, and we expect adjusted EBITDA in 2025 to be mostly unchanged on the same basis. HE's cash flow profile continues to improve, largely due to capital efficiency improvements as well as better equipment maintenance practices. Over the past few years, free cash flow in HE has been in the range of $75 to $90 million per annum, compared to an average of $40 to $45 million per annum over the previous five years. We expect to maintain this level of free cash flow in 2025. Moving to Harsco Rail, this has clearly been our most challenging business over the past few years, having a significant impact on the execution of our portfolio strategy and on cash flow. As we have said before, chief among the challenges are a small number of contracts to produce highly engineered and bespoke equipment in the face of unprecedented supply chain disruptions and inflation. A few projects were completed last year and a few more will be completed by the end of this year, leaving only a few remaining after that. We are in the process of executing and concluding these obligations while continuing an active dialogue with our customers for relief as well as exploring alternative options to further mitigate the associated risks. The senior corporate executive team is leading these efforts, and it is among our top priorities this year. As these projects are completed and we remove the overhead costs, we anticipate the EBITDA on the rail business to be in the range of $35 to $40 million with a healthy cash flow profile. In further support of these efforts, we have made meaningful upgrades to Rail's leadership team. And, of course, we have not signed any new engineer-to-order contracts, and we do not intend to do so in the future. The completion of these projects will yield a material boost to our consolidated free cash flow generation. At our Analyst Day in Philadelphia last June, we projected free cash flow of $150 million in 2027, and our expectation has not changed. Nor have our plans changed to divest the rail business and reduce financial leverage to our target range of 2.5 to 3 times EBITDA. The board and management continue to consider other value-enhancing opportunities on a regular basis. Turning to our outlook for 2025, we expect to offset the year-over-year decline in HE's EBITDA due to the stronger dollar and lost earnings of divested businesses. We also expect Rail's EBITDA to improve. The most notable change in our financial profile this year will be improved cash flow due to lower net outflows on rail contracts and the end of our UK pension plan's funding. And although free cash flow will improve in Clean Earth, we are planning a sizable increase in growth-oriented capital spending in the business given the meaningful opportunities we see ahead. Finally, as we announced last month, we are continuing to refresh our board with skill sets that shift towards expertise in our core markets and in portfolio strategy. I am very pleased to announce the next step in our process with the nomination of Nick Fanadakis to our board. Nick is the former CFO of DuPont and brings valuable transformational and operational expertise from running several businesses throughout his career. We are excited to welcome Nick to our board and look forward to his engagement with our leadership team as we work to capitalize on the value creation potential we believe is inherent in our company. Now I will turn the call over to Tom.
Tom Vadaketh: Thank you, Nick, and good morning, everyone. We had a solid finish to 2024 in the fourth quarter, which was broadly in line with our expectations. Full-year revenues for 2024 were $2.3 billion. Adjusted EBITDA reached $319 million, which was up 4% year on year as reported or up 11% on an organic basis. This was our highest adjusted EBITDA in ten years. From a segment standpoint, HE performed well while facing challenging market conditions. Clean Earth drove our growth by again delivering record earnings and margins. As Nick said, Clean Earth's EBITDA in 2024 was more than double its earnings in 2021, our first full year of ownership. We are very pleased with the execution at Clean Earth and the returns now being generated on our initial investment. Enviri's free cash flow for the year was a negative $34 million. This was a result of cash usage for our large engineer-to-order projects in the rail business as well as delayed collections in our base rail business with certain shipments being pushed out into 2025. HE and Clean Earth together generated free cash flow of more than $190 million in 2024, an improvement over 2023. Our covenant net leverage ratio at the end of 2024 was 4.07 times, an improvement from the beginning of the year. Now let me turn to our fourth-quarter performance details starting on slide five. Similar to quarter three, we faced some headwinds in Q4 within our Harsco Environmental and Rail businesses as a result of market conditions, customer shipment delays, and supply chain pressures. However, our operating teams performed very well, and I am pleased that we delivered adjusted EBITDA within our guidance range for the quarter. We saw positive momentum in the quarter. Clean Earth delivered over 25% EBITDA growth and record Q4 margins. Rail showed strong quarter-on-quarter improvement in both EBITDA and free cash flow. And importantly, these positive trends in Rail are expected to continue in 2025. Difficult conditions within the global steel market. So net-net, a positive quarter for the company. In the fourth quarter, revenues totaled $559 million, which was little changed from the prior year quarter after adjusting for the impact of FX translation and business divestitures. Adjusted EBITDA was $70 million, which is 5% higher year over year on a similar organic basis. Again, reflecting the strong improvement and growth at Clean Earth. Relative to guidance, Clean Earth and Harsco Environmental performed in line with our expectations. In HE, incremental FX and volume pressures were offset by better cost performance. Clean Earth's performance was steady and strong in Q4, while Rail results were modestly below our target due to shipment delays in North America, which will be realized in 2025, as well as cost adjustments on a few small projects, which will also be completed in 2025. Our adjusted diluted loss per share was four cents for the quarter. This figure excludes the impact of special items totaling $90 million. This is a significant amount of such charges and reflects the fact that we are actively and aggressively working to address certain issues, including some legacy matters. In the fourth quarter, this included roughly half a dozen items in Harsco Environmental and Rail, with about $40 million of the $90 million representing asset impairments or write-downs that are non-cash in nature. In HE, these items include exit costs following a site closure in the UK, an asset impairment for an underperforming US site where improvement initiatives are underway, and anticipated costs to address an environmental matter in the Middle East. In Rail, the charges include further adjustments and a goodwill impairment charge. Q4 was an unusual quarter as we work through these issues, and we understand the importance of minimizing the impact of special items in the future. Lastly, on this slide, adjusted free cash flow for the quarter was $8 million, reflecting a $42 million improvement versus the third quarter of 2024, driven by working capital improvements in Rail, which we had expected. Our fourth-quarter cash flow also benefited from the timing of interest and lower pension payments. Clean Earth and HE generated over $40 million of free cash flow in Q4 combined. Rail's free cash flow in the quarter netted out to nil, with positive cash generation from the base business offset by usage from its large ATO contracts, which continue to weigh on overall cash generation as we have discussed previously. I will come back to Rail and our outlook in a bit. Finally, as you may recall, we extended our revolver and accounts receivable facilities in Q3 of 2024. Earlier this month, we amended our credit agreement to provide additional cushion under our covenants and strengthen our financial flexibility. We also increased the size of our accounts receivable facility by $10 million. Overall, I am pleased with our capital structure. While our next debt maturity is not until 2027, we expect to continue to be proactive and opportunistic in addressing future maturities. Please turn to slide six and our Harsco Environmental segment. Segment revenues totaled $240 million. Adjusting for an FX impact of $14 million and a divestiture impact of $26 million, the organic decline in revenues was 4%. This change reflects lower service levels as a result of weaker steel production as well as site exits, which relate to the site closures we discussed in October. Adjusted EBITDA for the quarter totaled $41 million compared with $56 million in the prior year quarter. Operating rates or production rates at our customer sites are very low in Q4. For customers that provide this information, mill utilization was below 73% in the quarter. And relative to the prior year quarter, steel production was weakest in Europe, North America, and the Middle East. The fourth quarter is traditionally a soft period for the steel industry as well, and there is some positive steel price momentum in the marketplace today. And while it is too early to call this a trend, higher steel prices often lead to increased production and mill service activity. As Nick mentioned, HE's operating leverage to higher production levels remains significant, positioning us well to benefit when markets recover. Next, please turn to slide seven to discuss Clean Earth. For the quarter, revenues totaled $241 million, and adjusted EBITDA reached $36 million, up 26% year on year. The increase in revenues is attributable to price initiatives, and the growth in EBITDA reflects higher prices as well as cost efficiencies. The Clean Earth team continues to realize benefits from its efforts to drive down costs within its major spending categories, the largest of which include transportation and disposal. Clean Earth also generated over $30 million of free cash flow in the quarter, and its free cash flow for the year exceeded $100 million for the second consecutive year. Overall, these very strong results for Clean Earth reflect positively on the leadership in the business, who many of you met at our Investor Day, and the high level of execution throughout the Clean Earth organization. Now please turn to slide eight in our Rail business. Rail revenues totaled $77 million, and its adjusted EBITDA was $2 million in the fourth quarter. The increase in revenues is the result of higher equipment and technology volumes offset by lower aftermarket sales. The year-on-year EBITDA change can be attributed to lower aftermarket sales as well as a less favorable business mix, including the contracting services work performed in each quarter. Relative to the third quarter of 2024, Rail's adjusted earnings improved, as did its free cash flow, which I mentioned earlier. We continue to strengthen the Rail team while also making progress in addressing Rail's supply chain and operational challenges. Our operations team is driving several improvement projects, which will be completed during 2025 and will progressively improve our ability to deliver expectations and increase the throughput and capacity of the operation. We are investing in the new IT ERP system for Rail, which we also expect to drive operating improvements by providing better visibility and control for our team. Making progress on our large engineer-to-order contracts is also a top priority for the company. Additional forward losses of $13 million under these contracts were recorded in Q4 as we continue to make progress in manufacturing the equipment for our customers. We also continue to work with these customers to clarify future schedules and to limit our financial exposure. We will provide you an update on these efforts when appropriate. In an effort to provide more clarity on Rail's underlying performance, we have included slide nine in the deck detailing the revenue, EBITDA, and free cash flow split for its ETOs and base business in 2024. Let me make a few observations. Demand for Rail's standard equipment and services remained strong. Base business profits are significant, and margins are steady, with a healthy conversion to cash. Our largest ETOs are reported at zero gross margin given our forward loss provisions, but we have overheads that support these projects. And lastly, we have been consuming cash through working capital for our ETO projects as we build the related equipment in advance of delivery to our customers. Now specifically, Rail's adjusted EBITDA in 2024 totaled $9 million, including a loss of $20 million on its ETOs and a positive contribution of $30 million from its base business. And Rail consumed $62 million of cash in the year. The ETOs consumed approximately $79 million of cash, while the base business generated a positive $17 million. Overall, Rail's base business is a valuable part of our portfolio. And as we have discussed before, the ETOs are for now a headwind to the business and company for that matter. We hope this additional detail is helpful, and importantly, the impact of Rail's ETO contracts is set to improve in the future, as certain contracts end and others mature starting in 2025. Now let me turn to our 2025 outlook on slide ten. Enviri's full-year adjusted EBITDA is expected to be within a range of $305 to $325 million, which represents 5% organic growth. Revenues are expected to increase less than that on a similar basis. And note that the revenue headwind from divestitures and FX is roughly $100 million year on year. Importantly, our EBITDA change reflects a continued shift in our business mix among our two largest segments, which have very different valuation considerations. For the year, Clean Earth's EBITDA is projected to grow double digits, and this growth will be offset by HE on a reported basis, including FX and divestiture impacts. Free cash flow is anticipated to increase to between $30 million and $50 million. This reflects considerable improvement in 2025, with the increase largely due to Rail and pension. A $40 million improvement in Rail's free cash flow is expected as some small ETO projects conclude and we are paid by our customers. The Rail cash flow improvement in 2025 is also driven by an improved base business with lower inventory and higher collections. The other large change for 2025 is that our cash pension contributions will decrease by approximately $20 million. For the three large ETO projects, we expect to start delivering a significant portion of the equipment to our customers in 2026, at which point we expect cash flows on these three projects to start improving. Capital spending of $130 to $140 million is planned for the year, with less spending in HE and higher year-on-year spending at Clean Earth to drive its growth. Our per-share guidance for adjusted earnings ranges from a loss of one cent to a loss of twenty-five cents. This range considers that our interest expense will decline modestly, and various other assumptions are included in our press release. Now let's turn to our segment guidance on slide eleven. Harsco Environmental's profitability is expected to be lower year on year. The negative impact of a stronger US dollar and divestitures is nearly $20 million. Operating improvements and new contracts will offset a weaker service mix and contract exits. We have not assumed much improvement in underlying steel production at our customer sites. For Clean Earth, revenues are anticipated to grow mid-single digits, with this increase slightly more weighted to volume over price. Clean Earth's EBITDA will grow at a low double-digit rate, with its margin approaching 17%. And I would note that it had a bad debt benefit in 2024 that will not recur in 2025. Net-net, we again expect a strong contribution from its revenue lift in 2025. Rail's adjusted EBITDA is projected to increase approximately 50% at the midpoint, with the improvement driven by price, volume, and efficiency initiatives. And lastly, corporate costs are expected to be approximately $38 million in 2025, with the increase largely due to non-cash equity compensation. Let me conclude on slide twelve with our first-quarter guidance. Q1 adjusted EBITDA is expected to range from $57 million to $62 million. Clean Earth's results are expected to be above the prior year quarter, while HE and Rail are expected to be lower year on year. For HE, the change reflects the impact of divestitures, site closures, and exits. We do have new contracts in 2025, but these positive impacts will not offset the exits until the second half of the year. For Rail, the change reflects the lumpiness of the business, particularly in Q1 each year. We have anticipated a weaker business mix this year. Lastly, on Q1, we expect free cash flow will be negative as a result of business seasonality as well as the timing of interest and incentive compensation payments. Thank you. And I will now hand the call back to the operator for Q&A.
Operator: To ask a question, you may press star and then one on your telephone keypad. If you are using a speakerphone, we do ask that you please pick up your handset before pressing the keys. To withdraw from the question queue, you may press star and two. Once again, that is star and then one to join the question queue. We will pause momentarily to assemble the roster. Our first question today comes from Devin Dodge from BMO Capital Markets.
Devin Dodge: Alright. Thanks. Good morning, guys. So I am going to start with Clean Earth. Really solid performance again this quarter. Some good pricing, I think, some efficiency benefits. But volumes, I think they continue to be a bit soft. Just wondering if you can provide some context for why volumes have been a little bit sluggish in 2024 and, at least based on the guidance, why that should change in 2025.
Nick Grasberger: Sure. Hi, Devin. It is Nick. In terms of 2024 volume in Clean Earth, there was a lot of churn amongst the top retail accounts. That should actually be a bit of a tailwind for us in 2025. Our pipeline on the industrial side of our end markets was somewhat weak in 2024, but the pipeline has grown significantly, and I think we have a 4 or 5% volume lift in industrial within Hazeways and Clean Earth in 2025, and we feel pretty confident about that. Healthcare was reasonably strong in 2024. We expect that to continue. But overall, in Clean Earth, we expect the top line to grow, say, around 5%, half of that price and about half of that volume. And you are right. We have not had volume growth at that level in the last couple of years, but we are pretty confident given our pipeline that we will achieve that this year.
Devin Dodge: Okay. Okay. Good color. Thanks for that. Then switching over to Harsco Environmental. So your contracts there, I know they provide some downside protection or have some minimum volume guarantees. Look, recognizing it is hard to generalize, but how much more downside from a volume perspective is there across the portfolio before we reach the floors set in those contracts?
Nick Grasberger: Well, I think we likely are kind of at the bottom in terms of volume at most of our plants. The bigger impact has really been site closures. Right? We have had one in the UK, one in the Czech Republic, one in Chile. We have had other large sites reduce production or close the blast furnace, let us say, or idle their facility for a period of time. So really, kind of as we look across the portfolio now of our sites, we do not see further risk for bankruptcies or sites being idled. And to your question, yeah, it is hard to generalize. It is different on a contract-by-contract basis. But I think we are still a ways away at most sites from kind of hitting that floor in terms of volume.
Devin Dodge: Yep. Okay. Makes sense. Thank you. I will turn it over.
Operator: Thank you. Our next question comes from Rob Brown from Lake Street Capital Market.
Rob Brown: Good morning. Hi. On the Clean Earth business, you were booking operating improvements in terms of, I think you talked about IT and facility type improvements. How far are you into that effort, and how much can you kind of see in the next year in terms of improvement there?
Nick Grasberger: Well, in terms of IT, we are a little more than halfway through kind of a two-and-a-half-year program to harmonize our systems. We, under the banner of One Clean Earth, it is a very, very broad initiative across many different components of our IT systems. But this year, let us say, at the end of this year, I think we expect to be, I do not know, 80, 90% finished with that effort. And given the complexity of it, it has actually gone quite well. Very, very pleased with that. I am sorry. What was the other part of your question, Rob?
Rob Brown: Yeah. It was really on the facility side as well. Where are you in terms of getting that done and how much to go?
Nick Grasberger: Yeah. I think that what we are spending on are new capabilities and capacity in the facilities. We expect very high returns and very quick paybacks relative to what is typical for those kinds of investments. So even though we are spending an extra $20, $30 million on CapEx in Clean Earth this year, we think that is a very good investment for the business. At this level of capital spending, this $50 million or so that we are looking at in 2025 is certainly higher than what we have spent and likely to be higher than what we will spend in the future.
Rob Brown: Okay. Got it. And then in the Rail business, you know, you continue to sort of see incremental costs there. How much, I guess, visibility do you have on those incremental costs and the engineer-to-order that you are getting kind of into the mid-days deliveries? I think you said 2026. You get a fair amount of deliveries done, but just a sense of how much more risk you see in those and maybe when or how that starts to taper off in 2026 and 2027 in terms of the amount of remaining risk.
Tom Vadaketh: Yeah. Rob, let me, it is Tom Vadaketh. I will just try and take that. As I think you have heard us say before, the risk sort of truly dissipates dramatically once we have delivered the very first vehicle in the series of vehicles or equipment that we are meant to deliver to the customer. And once that customer has accepted that, so at that point, you have your bill of material locked in. You have got supplier contracts from your various vendors locked in, and you kind of know where you are. And so we are, I would say, from today, you know, about a year to fifteen, fifteen, eighteen months away from that occurring for our three big contracts. No. For two of the three big contracts. On one of them, we have made quite a bit of progress already and expect to kind of actually enter to get to the end of that contract during 2026. So I would say, you know, long way to answer your question. Look, we learn a little bit every order. Sometimes there are changes in the supply chain. The supply chains and these are complex, and so some of the charges we had to take in the fourth quarter reflect just changes in the supply chain. We had to switch suppliers. The new supplier happens to be a little bit more expensive than the old supplier and that sort of thing. But we are full flow in terms of the production process. And, yeah, like I said, risk will really dissipate dramatically once we have delivered in that very first vehicle. And we are about twelve to fifteen months away from that occurring.
Nick Grasberger: Yeah. I will just add to that. Again, referencing the three large contracts, which are really the only ones I will say relevant at this point because the others have either been completed or will be this year. On two of the three large remaining contracts, the net risks and opportunities are probably close to zero because we have some expected relief coming on one of those. The largest remaining risk that we have is really in a contract in the UK. And that is where Tom and myself and our general counsel and others are very focused on trying to mitigate the risk and improve the outcome on that contract.
Rob Brown: Okay. Great. Thanks for the color. I will turn it over.
Operator: Once again, if you would like to ask a question, please press star and one using a touch-tone telephone. To withdraw yourself from the question queue, you may press star and two. Again, that is star and then one to get in the question queue. And our next question comes from Brian Butler from Stifel. Please go ahead with your question.
Brian Butler: Hey, good morning. Thanks for taking the questions. I guess on the first one, what is assumed in 2025 guidance from the perspective of steel production? What is embedded into that estimate?
Nick Grasberger: Yeah. So hi, Brian. Of course, it varies a good bit by region. So our fastest-growing region has been India, the Middle East, and Africa. And that has grown quite nicely. We expect volume in that region to grow kind of three or four percent this year. And then I will say essentially flat in the other regions. So North America, Europe, Latin America, primarily.
Brian Butler: Okay. And then, but of course, it also varies a good bit by site. But I think we overall have volume from liquid steel tonnage up one or two percent, I think, overall.
Brian Butler: Okay. That is helpful. And when you think of your new footprint in the HE business in the sense of post the closing, a normalized production environment, what would be the expected...
Nick Grasberger: Yeah. If we ever get back there. So it is a function of that as well as the dollar. You know, we have lost $30 million of EBITDA in HE just from a strengthening dollar over the last four years. So let us assume, you know, constant currency. But I would say if we got back kind of mid on production of the revenue base today, which is, what, $1.1 billion, about a billion? You know, there is at least another $100 million of revenue there just from getting back to mid-cycle. Probably more. Let us say $100 to $200 million with a fall-through rate that is pretty high. Right? It is, I do not know, 30, 35, 40 percent.
Brian Butler: Okay. That is good. And then on the Clean Earth business, when you think of 2025 and the opportunity around PFAS, I mean, right now, I do not think you are doing any PFAS work, but that seems... Is that a place you are looking to put capital to work in that area? And where do you see that opportunity in 2025 and maybe beyond?
Nick Grasberger: Yeah. Well, we are treating some PFAS-contaminated wastewater. We have a facility, a permanent facility up in Detroit, and that has been good business for us. We are also working with the DOD and others on various sites, kind of testing our technology or other technology at our permitted sites and facilities. So I think we are quite active, but we do not have anything substantial built into 2025 for PFAS. I think we feel that with our technology and our permitted facilities and access to others' technology, you know, we are very well positioned in PFAS when those opportunities begin to flow, likely for us initially with the DOD. So I think we are very confident in our capabilities and our capacity in our permitted facilities. But we really, and this even goes back to our long-range plan that we presented at our Analyst Day here back in June, we really have not built any PFAS revenue or EBITDA into our three-year plan.
Brian Butler: Okay. And then last one on Rail. How should we think about the cadence in 2025 based on the guidance that you have given here? You know, how should we work there, I guess, model that through the year?
Tom Vadaketh: So I gave some guidance, Brian, for the first quarter. And then I would suggest, you know, the back three quarters, I would just spread it about evenly, you know, whatever you are modeling. So we have tried to, from a production perspective, you heard me talk about some of the things we are working on, and we have tried to level load the production plan through the year so that it allows us to optimize manufacturing and allow us a chance to work on some of the improvements that I described. So, yeah, for your assumptions, what will we do? Basically, level load it.
Brian Butler: Okay. Thanks for taking the questions.
Operator: And ladies and gentlemen, that will conclude our question-and-answer session. I would like to turn the floor back over to Dave Martin for closing remarks.
Dave Martin: Thank you for joining the call this morning. Feel free to call me with any follow-up questions. And as always, we appreciate your interest in Enviri and look forward to speaking with you soon. Take care.
Operator: And ladies and gentlemen, with that, we will conclude today's conference call and presentation. We do thank you for joining. You may now disconnect your lines.